Operator: Good day, and welcome to the Bilibili 2020 Fourth Quarter and Full-Year Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Juliet Yang, Senior Director of Investor Relations. Please go ahead.
Juliet Yang: Thank you, operator. Please note the discussion today will contain forward-looking statements relating to the Company's future performance and are intended to qualify the safe harbor from liability, as established by the U.S. Private Security Litigation Reform Act. Such statements are not guarantees of the future performance and are subject to certain risks and uncertainties, assumptions and other factors. Some of these risks are beyond the Company's control and could cause actual results to differ materially from those mentioned in today's press release and in this discussion. A general discussion of the risk factors that could affect Bilibili's business and financial results is included in certain filings of the Company with the Security and Exchange Commission. The Company does not undertake any obligation to update this forward-looking information except as required by law. During today's call, management will also discuss certain non-GAAP financial measures for comparison purpose only. For a definition of non-GAAP financial measures and a reconciliation of GAAP to non-GAAP financial results, please see the 2020 fourth quarter and full-year financial results news release issued earlier today. As a reminder, this conference is being recorded. In addition, an investor presentation and a webcast replay of this conference call will be available on Bilibili Investor Relations website at ir.bilibili.com. Joining us today on the call from Bilibili's senior management are Mr. Rui Chen, Chairman of the Board and Chief Executive Officer; Ms. Carly Li, Vice Chairwoman of the Board and Chief Operating Officer; and Mr. Xin Fan, Chief Financial Officer. And I will now turn the call over to Mr. Fan who will read prepared remarks on behalf of Mr. Chen.
Xin Fan: Thank you, Juliet, and thank you, everyone for participating in our 2020 fourth quarter and fiscal year end conference call. I am pleased to deliver today's opening remarks on behalf of Mr. Chen. We had an exceptional year in 2020. Through a challenging macro environment, we remained focused on our growth strategies and achieved record results. In the fourth quarter, our MAUs reached 202 million, up 55% year-over-year, marking a new starting point for our growth journey. In addition, mobile MAUs were up 61% year-over-year to 187 million. On the user engagement front, we had 54 million DAUs, up 42% year-over-year. Our users remained highly engaged and spent an average 75 minutes on our platform daily in the fourth quarter, reflecting the strong appeal of Bilibili's content offerings and the stickiness of our growing community. The high quality and rapid growth of our user base laid a solid foundation for our commercialization efforts. In the fourth quarter, our premium content and services continued to drive paying user conversion. MPUs reached 18 million, up 103% year-over-year. Our overall paying ratio increased to 8.9%, compared with 6.8% in the same period last year. At the same time, more business partners are turning to Bilibili to reach and engage our massive audience base of young generations. Our advertising business grew by 149% in the fourth quarter year-over-year, marking the seventh consecutive quarter of accelerated growth on a year-over-year basis. On the back of this momentum, our total revenues reached another record high of RMB3.8 billion in the fourth quarter, and RMB12 billion for the full-year. This represents impressive year-over-year growth of 91% and 77%, respectively. We attribute our success to our broad content library, engaging community experience and rising brand awareness. In 2020, we made some key moves that resulted in a significant boost to our brand. We kicked-off 2020 with a blockbuster New Year's Eve Gala, followed by our Hou Lang, Ru Hai, Xi Xiang Feng marketing trilogy, and introduced our brand proposition All the Videos You Like. We carried these efforts into the fourth quarter and closed the year with our second New Year's Eve Gala, The Most Beautiful Night of 2020. During the live broadcast night, the popularity index more than tripled compared with our 2019 event, achieving 120 million playbacks within 48 hours. These successful marketing initiatives have allowed us to connect and resonate with more users and reach a more diverse audience, and we believe we can continue with the strong momentum in 2021. Building on the success of our 2020 user growth, one thing is clear. Our appeal is much broader and reaches beyond Gen Z. We are now widely recognized by a larger audience that now includes those born between 1985 to 2009, popularly referred to as the Gen Z+ demographic. This group of users shares similar attributes, and we have established unparalleled mindshare among this vibrant Gen Z+ community. According to the iResearch's latest report, over 86% of our MAUs were below the age of 35 in 2020. This group is the driving force for all kinds of consumption in China, especially the video-based consumption market. In 2019, Gen Z+ contributed 65% of video-based market dollars. Video continues to be integrated with more and more aspect of daily lives. It is becoming the primary means to communicate, entertain and exchange information. This videolization trend is creating massive market opportunities in China. The video-based market is expected to reach RMB1.8 trillion in revenues, generated by nearly 1.2 billion video users by 2025, according to iResearch. As a full spectrum video community platform, and the go-to platform for the Gen Z+ demographic, we are at the forefront of this exciting videolization opportunity. With that, I'll walk you through some of our activities during the fourth quarter, beginning with our content. Our content creators are extremely important to us. Their creations represent their vision of the world around them, which reflects and influences Gen Z+ preferences. For the fourth quarter, we had approximately 1.9 million content creators uploading 5.9 million videos per month, representing increases of 88% and 109%, respectively, both year-over-year. We continue to provide our content creators with support on multiple levels. These include video editing tools and tutorials that help facilitate new creations, as well as monetary rewards and our advertising platform. Most importantly, we continue to improve our algorithm to make sure the right content is distributed to the right audiences while promoting high quality, original content. These attributes are what make Bilibili the most sought after platform for content creators to showcase their talents, share their passions and make a living doing what they love. We continue to enhance our content offerings both in depth and in breadth. In the fourth quarter, our most popular content verticals, in terms of video views, were Lifestyle, Games, Entertainment, Anime and Tech & Knowledge. Among those leading verticals, Knowledge was one of the fastest growing verticals, attracting numerous intellects to our platform to share their knowledge and insights. In the fourth quarter, our Tech & Knowledge vertical attracted a wide audience, and had contributed a significant 10% of our total video views. Meanwhile, we continue to invest in areas where we see high potential to build-out new strongholds. For 2021, as we grow with our existing users and attract new ones, we've identified several areas with large and growing demand such as automotive, home furnishing, relationships and parenting. In January 2021, we launched Story Mode, our new PUGV content format that allows users to enjoy short videos in vertical formats. With Story Mode, we hope to satisfy users' diverse needs by providing them with seamless access to our high quality content, ranging from seconds for their fragmented time to minutes and hours for more immersive experiences. We are encouraged by the initial results brought by the new model. Turning to our OGV content. Our years of investment in Chinese anime bore fruit in 2020. Chinese anime MAUs have surpassed Japanese anime MAUs and have become our number one category within OGV. Over 160 million users watched Chinese anime on our platform in 2020. During the year, we released a number of popular Chinese Anime titles and hit new records for attracting new users and converting them to paying members. These include Carp Reborn [indiscernible], Daily life of Immortal King [indiscernible], Ling Cage [indiscernible] and the more recently launched Heaven Official's Blessing [indiscernible], forming valuable IP assets. In November, we held our third annual Chinese anime press conference, MADE BY BILIBILI. Here, we introduced 33 new titles that we plan to release over the next two years. In addition to market developments in China, we are excited to be a pioneer in promoting Chinese anime worldwide. Some of our international endeavors include our cooperation with Sony's Funimation and Netflix to stream Bilibili-produced Chinese anime series around the world. Our documentary, variety shows and TV series continued to enrich our content library as well. In particular, we have been very successful with our recent endeavors in self-produced TV drama Run for Young [indiscernible] and the music reality show Rap for Youth [indiscernible]. Not only have we attracted new users, generated sizable memberships and advertising revenue with these additions, but we have also opened the gateway to new content verticals and formats. Turning to our community. As our user base continues to grow, particularly among the Gen Z+ audience, we are further nurturing bonds and strengthening our community ties. In the fourth quarter, our daily video views reached 1.2 billion, up 70% year-over-year. Monthly interactions were also up by 94% year-over-year, with users generating 4.7 billion bullet chats, comments, likes and Bilibili moment posts. Our official member numbers reached new heights as well. At the end of the fourth quarter, we surpassed the milestone of our first 100 million official members, with 103 million official members, up 51% year-over-year. Our 12-month retention also remained strong, well above 80%. These consistent metrics are a strong testimony to the success of our platform and growth strategies. Turning to our commercialization progress. We diversified our game offerings even further in 2020, led by existing popular games such as Princess Connect, FGO and Azure Lane, our mobile games revenue grew to RMB1.1 billion in the fourth quarter, up 30% year-over-year. Old and new fans alike continue to find great joy in these games, driving their steady performances. Genshin Impact continued to win fans with massive success and Bilibili is the game's primary Android partner in China. As for our games pipeline, we have 14 titles that have obtained approvals and are scheduled for launch. We are very excited about our new, exclusively licensed games. In the upcoming quarters, we plan to bring players Sword Art Online [indiscernible], Artery Gear [indiscernible], and Guardian Tales [indiscernible]. As for our jointly operated games, we continue to be a partner of choice for leading game developers. In 2021, we will continue to work with top developers to bring more premium games to Chinese users, such as NetEase's Harry Potter and Diablo Immortal, as well as Tencent's League of Legends mobile game. Turning to our VAS business. Driven by our premium memberships and live broadcasting business, revenues from VAS increased by 118% year-over-year, reaching RMB1.2 billion in the fourth quarter. Premium memberships are on the rise, gaining viewers exclusive or advance access to our OGV content. At the end of the fourth quarter, we had engaged 14.5 million premium members, up 91% year-over-year. The majority of our members paid for annual memberships or our automatic renewal programs. As a natural extension of our video platform, we continue to build our live broadcasting content ecosystem. While more hosts are attracted to Bilibili, more content creators are leveraging our live broadcasting platform to connect with fans and showcase their talents. Having secured three years of exclusive live broadcasting rights to the League of Legends World Championship in China, we further enhanced our e-sports content offerings with the recent S10 event hitting record high viewership. Last but not least, let's review our advertising business. Thanks to our strong user growth and enhanced brand name, advertisers are even more aware of our users' value and coming to Bilibili for increased visibility. At the same time, our ad efficiency and effectiveness further improve as our algorithm improves. Revenues from our advertising segment reached RMB722 million, up 149% year-over-year in the fourth quarter. Games, Food & Beverage, E-commerce, Skincare & Cosmetics, and 3C products were the leading verticals in the fourth quarter. Our New Year's Eve Gala proved to be a great draw for advertisers as well. This year we welcomed new consumer brand, Yuan Qi Sen Lin and traditional appliance giant, Midea as our key sponsors of the gala. Our results speak for themselves and our business continues to gain momentum. Bilibili is decidedly the go-to platform capturing the hearts and minds of Gen Z+, and our audience of young users keeps growing. We have entered a new era where video is becoming the dominant vertical for people to get connected, informed and entertained. The trend of videolization is only getting started. At the same time, China's overall economy is on the rise, and is expected to continue with vigorous growth. We are not only helping to shape the new videolization paradigm, but also gaining market share in this huge and growing video market. In 2021, we will continue to invest in our content and our brand to expand our reach and further capitalize on this tremendous opportunity. This concludes Mr. Chen's remarks. I will now provide a brief overview of our financial results for the fourth quarter and the full-year of 2020. Total net revenues for the fourth quarter were RMB3.8 billion, up 91% from the same period of 2019. In the fourth quarter, we continued to see a more balanced and diversified revenue mix. Our total net revenues breakdown by revenue stream was approximately 29% games, 33% VAS, 19% advertising, and 19% e-commerce and others business. Cost of revenues increased by 80% year-over-year to RMB2.9 billion. Revenue sharing cost, a key component of cost of revenues, was RMB1.3 billion, also an 80% increase from the same period in 2019. Gross profit increased by 137% year-over year to RMB944.1 million. Our gross margin improved to 20.6% in the fourth quarter, compared with 19.8% from the same period last year. Total operating expenses were RMB1.8 billion, up 126% from the same period in 2019. Selling and marketing expenses were RMB1.0 billion, representing a 147% increase year-over-year. The increase was primarily attributable to the increased channel and marketing expenses associated with our app and brand, such as our 2020 branding campaigns, as well as expenses for our mobile games and sales and marketing personnel. By allocating resources to build our brand and appeal among a broader audience, we achieved substantial growth in 2020. We believe the effects will be even farther reaching, with positive impact to the market over the long-term. We can already see the benefits of this strategies through our broadening user base demographics, content and overall industry leadership. We plan to continue building on this momentum in 2021, to further strengthen and expand our virtuous growth cycle. G&A expenses were RMB343 million, representing a 115% increase year-over-year. The increase was primarily due to increased headcount in general and administrative personnel, increased share-based compensation expenses, increased allowance for doubtful accounts and higher rental expenses. R&D expenses were RMB484 million, representing a 97% increase year-over-year. The increase was primarily due to increased headcount in research and development personnel and increased share-based compensation expenses. Net loss was RMB844 million for the fourth quarter of 2020, compared to RMB387 million in the same period of 2019. Adjusted net loss, which is a non-GAAP measure that excludes share-based compensation expenses and amortization expense related to intangible assets acquired through business acquisitions and income tax related to the intangible assets acquired through business acquisition, was RMB682 million, compared to RMB337 million in the same period of 2019. Basic and diluted net loss per share were RMB2.34. Adjusted basic and diluted net loss per share were RMB1.88. For the full-year of 2020, our total net revenues increased by 77% to RMB12 billion. Notably, we saw a shift in our revenue streams with 60% of our total net revenues in 2020 coming from our non-game business, and games accounting for 40%. Gross profit for the 2020 full-year increased 139% to RMB2.8 billion. Net loss for 2020 was RMB3.1 billion compared to RMB1.3 billion in 2019. Adjusted net loss for 2020 was RMB2.6 billion compared with RMB1.1 billion in 2019. Basic and diluted net loss per share for 2020 was RMB8.71. This compares with RMB3.99 in 2019. Adjusted basic and diluted net loss per share were RMB7.46 compared with RMB3.3 in 2019. As of December 31, 2020, we had cash and cash equivalents, time deposits, as well as short-term investments of RMB12.8 billion, compared to RMB8.1 billion as of December 31, 2019. With that in mind, we are currently projecting net revenues for the first quarter of 2021 to be between RMB3.7 billion and RMB3.8 billion. Thank you for your attention. We would like now to open the call to your questions. Operator, please go ahead.
Operator: Thank you so much. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] And our first question comes from the line of Alex Poon from Morgan Stanley. Alex, your line is now open.
Alex Poon: My first question is related to the user growth in coming years and the strategy and in terms of the product strategy, et cetera. At the same time, how can we maintain the user quality? For example, in fourth quarter, we noticed there is a small decline in terms of DAU-MAU ratio and also the user time spent on a year-over-year basis. Thank you very much.
Rui Chen: So user growth has always remained our top priority. And I personally take a great priority in looking after the user growth strategy. So under the rapid trend of videolization, we believe every Internet user could potentially become a video user, and this is creating a massive market opportunity for us. So I believe the user growth for all the content platform really depends on the quality of the content. Whichever platform has the highest quality content, the user will tend to – that will turn to that platform. And for Bilibili, we have always practiced the philosophy that to leverage high-quality content to attract our users. And we are really focused on expanding our content offerings and content categories. So the reason why that Bilibili can continuously produce high-quality content is because we have built ever-growing sustainable content ecosystem, which naturally give birth to many high-quality content. So as we attract our users through our ever-growing high-quality content, at the same time, our highly engaged, sticky community help us to retain those users and providing them unique community experience. And our commercial efforts is also organically combined and merged with our content ecosystem as well as our community. So in many ways, it does not affect our user experience. On the contrary, we think it's becoming part of our content offerings and community experience. So looking at the past two years, we have experienced a very high-quality and rapid user growth. And you may even notice that our reach for broader audiences is beyond the Generation Z. And according to the latest third-party report, about 86% of our users in 2020 are aged below 35. So Bilibili is becoming the primary choice for not only the Gen Z, but also become a lot of users' choice that age below 35. On top of our user numbers expanding, we think that we are expanding our influential power-up multiple content verticals. In the past, people might have the perception that Bilibili has all the content young generations like, such as anime, games, music and entertainment. And in 2020, you would notice that there are many verticals that emerging that have the mass market appeal to all the age groups, for example, knowledge sector was one of the fast-growing sector in last year and knowledge as itself is the high quality content for all age groups that's out there. On top of our further ever-growing PUGV content ecosystem we've noticed in our OGV department, there has been a great synergy, for example, our traditional strong verticals, anime and documentary, continues to thrive and on the other hand, we have seen new emerging content categories such as our New Year's Gala, our films and TV productions is also welcoming more and more audiences. So all the above, we can summarize our user growth can at least meet three criteria’s; one, as we will continue to penetrate the young generations, in the past it might be the Gen Z demographic, people born in between 1990 to 2009, we believe we can further enrich, expand to the age group that's born after 1985 or even 1980. So the second point is on the quality of the content. We believe we can become a leading player in more and more content verticals and gaining more mindshare of those verticals in the market. So for example, in the past people may have the perception the best anime and the best game content is on Bilibili. Going forward, we hope to establish more mindshare and a high ground on more and more verticals, for example, in knowledge and in many more. And we believe there will be more high quality content and various content verticals will be in margin on Bilibili, gaining more market share. So by achieving the first two points, we are confident we can continue to take a leading role in terms of the pace of the content and leading the young generation's preferences over content and over our artistic preferences. We'll continue to maintain a highly engaged and friendly community environment at the same time increase our commercialization capability. So in the past, we had done a lot of work setting up our user growth and we have done a lot of groundwork and we are very prudent when it comes to setting up plans and strategies. And in the past, we have set two user growth, ones is back in 2018. Back then, we set a user target of 150 – to achieve 150 million in 2020. Then we updated that user goal back in 2019, which is to refresh the user target to achieving 220 million by 2021. So in the past, the goal that we announced, we believe we have very good track record in delivering those goals. As for the 220 million by 2021, we are quite confident to achieve that goal in advance. And standing where we are today in early 2021, we are setting up a new three-year user target, which we believe we can achieve 400 million MAUs by end of 2023. As we move forward, we believe that the Internet companies' competition over user is only getting more and more fierce. Despite challenging environment, we remain confident about our goals. We will further enhance our advantage in our content ecosystem as well as our engaging community. We are quite confident to achieve that user guidance. So as for the DAU to MAU ratio, I would like to emphasize that in the fourth quarter our main mobile app, the DAU to MAU ratio actually slightly improved quarter-over-quarter. And we have made the judgment back in the third quarter that as our user has experienced fast growth, the DAU to MAU ratio might fluctuate. Over the long-term, it shouldn't have large differences. As for the time spent, for this quarter, our time spent per DAU was 75 minutes and compared to the same period last year only a slight decrease, which we believe it's a normal case. So when we look at the time spend per DAU in January this year, it actually improved to above 18 minutes. So, this is also in check with our overall judgment on the time spent and DAU to MAU.
Ni Li: So Carly would like to supplement one point. One is that, as Mr. Chen mentioned, our growth model is driven by our content ecosystem as well as our community. And you would also say that we made all the right moves in expanding Bilibili brand name in 2020. As we look forward to 2021, we'll continue to build on our – further expand our branding perception and branding awareness through multiple marketing events. So we've done our user perception study on our brand awareness back in 2019, 2020, and the number was – they're over 30% in 2019, and the brand awareness perception rate was improved to over 60% in 2020. We hope with number of our branding initiatives and marketing event, we hope to increase that perception rate above 90% in 2021. Okay. And one more thing is that on the branding initiatives, we are going to launch several campaigns in cooperation with company events and a big content launch to increase our brand perception and brand awareness. At the same time, we'll also work with other leading Internet players to increase our perceptions along with active user acquisition and channel acquisitions. Okay.
Operator: Thank you so much. And your next question comes from the line of Alex Yao of JPMorgan. Alex, your line is now open.
Alex Yao: So my first question is about the advertising business, which has been accelerating almost four quarters in a row in the past several quarters. Can you guys elaborate a bit more on the growth driver behind this rapid-growing advertising business? Also, can you talk about the advertising revenue growth outlook for 2021? A follow-up question on this advertising monetization is that we noticed you guys have recently launched a number of KOL economy monetization models, such as the Huahuo. Can you talk through your latest thinking on the KOL economy monetization on Bilibili. And also, can you talk about the feedback from both advertiser as well as content creators on the introduction of Huahuo? Thank you.
Ni Li: So first of all, we have over – near half of active users that's our – that is China's young generation, and Bilibili is the platform that has the most concentrated young generation users. As we believe as the Gen Z become the mainstream of the society, they have more saying and more spending power across various industry verticals. And the next decade will be the new consumer upgrade, new consumer branding upgrade for the China's overall consumption industry. As Bilibili's user has the most influence and most spending power within this vertical, Bilibili is becoming the must-invest advertising platform. So in 2020, as we experience fast and high-quality user growth, our influence over brand advertising is also increasing. Over the years, we have continuously improved our commercial middle platform capabilities, and our advertising revenue has experienced accelerated growth for seven consecutive quarters. In the fourth quarter, our advertising revenue reached RMB120 million and up 149% year-over-year. And for the full year, our advertising revenue also grew by 126% year-over-year. So for 2021, we do not intend to increase our ad load, and we're going to maintain the ad load around 5%. From our perspective, we are still at the Phase II, building our infrastructure. And our advertising business still have a huge potential to grow. So first of all, we will continue to enhance our middle platform capability serving the commercialization progress. As our product – as our advertising product improve and our algorithm improve, our overall advertising efficiency will also improve. And the efficiency is not only reflect on the increase of our advertising revenue, it also reflects on other business. For example, our game – jointly operated games improvement also depends on the improvement of our advertising efficiency. So that goes with our live broadcasting membership and e-commerce. So on top of our news feeds, we tend to enhance our commercialization capability across multiple business lines and across multiple platforms. For example, the business line includes live broadcasting, comic and our audio drama platform. And as for the multi screen, that goes to our mobile device on iPad, on PC and our smart televisions to help our – the brands to connect even further in multiple ways with the young generations. So the third point would be to increase our integrated marketing efficiency and standardize more of the procedures among this overall integrated marketing campaign. In 2020, we have significantly improved the ad efficiencies on single users. And in 2021, we are going to elevate that to a single industry – on a single industry basis to better serve our industry verticals. And last but not least, I'll add some point on our Sparkle advertising platforms. This platform was launched in Q3 last year. It is a matchmaking platform between content creator and various advertising platform – advertisers. So this – the born of the platform is a natural development of our advertisers' needs and our content creators' needs as more content creator need commercialization empowerment. And our content – our advertisers also need efficient ways to influence users' decision-making. So the born of the platform is to connect both parties' needs at the same time to ensure a smooth, efficient transaction between two parties. And in 2021, we'll spend more efforts in improving this platform, bringing more opportunity for both parties. So in summary, we are quite confident of our advertising revenue growth. We believe we can still maintain a high-growth rate that's above the overall growth rate of the company.
Operator: Thank you so much. And that concludes the question-and-answer session. I would like to turn the conference back over to the management for any additional or closing comments. 
Juliet Yang: Well, thank you once again for joining us today. If you have further questions, please contact myself, Juliet Yang, Bilibili's Senior IR Director, or TPG Investor Relations. Our contact information for IR in both China and the U.S. can be found on today's press release. Have a great day. Thank you.
Operator: And that does conclude our conference for today. Thank you for participating. You may all now disconnect.